Operator: Good morning, ladies and gentlemen, and welcome to the TUI Group's conference call regarding the first quarter results 2015/'16. [Operator Instructions] Let me know turn it over to your host, Mr. Friedrich Joussen and Mr. Horst Baier. 
Friedrich Joussen: Thank you very much. Good morning, everybody. Let me immediately jump into the presentation. We'll try to keep it brief to be available for questions afterwards and reserve some time for questions -- enough time for questions, before we really start our annual general meeting here in Hanover later today.
 On Page #5. I would like to make some opening remarks regarding the quarter. I think when you look at the numbers, you can see that our performance in the quarter was really good. It's -- our EBITA grew by 7.2%, and this is remarkable because the first quarter the year before actually included the sale of Riu Waikiki, which was contributing an EBITA effect of EUR 16 million. And also, the first quarter of this year included effects of Tunisia and Sharm el-Sheikh, which actually halved our Egypt program in the quarter. So therefore, I think the EBITA number is really promising. 
 Anyhow, it is saying in our industry that you can not win the year, but you can lose the year in winter. And I think we have made really good progress in winter, but the big time will be summer. And therefore, bookings into Turkey will be very cautious for our summer business. 14% of our Source Market program is into Turkey, and our bookings, currently, are down 40%, with a load factor of 25%, which is 5% lower than last year.
 Anyway, we are very confident to hit our guidance of at least 10% underlying EBITA because our business model actually allows to actually shift demand from weaker regions into stronger regions and, in that case, into other destinations like Spain or Canaries that, actually, we benefit from higher margins also in our Hotels businesses.
 Let me now focus on this quarter in a little bit more detail. Our underlying EBITA, you see on this slide, was up 7.2% on constant currencies. Our revenue, at the same time, was up 2.5% on constant currency; and our brands turnover, up 4.3%. Just for your information or that you remember, our brand revenue included -- or includes, besides our consolidated revenue, the revenues from TUI Cruises and Sunwing, which are our equity joint ventures in cruises and, actually, in North America. So despite the geopolitical challenges, we have been able to grow our revenues, and that's another very good indication. 
 Our reported EBITA grew a little bit slower than our underlying EBITA, which is also clear because we still have also the second year, some of the one-off effects of our merger. 
 On the other hand, we delivered in this quarter EUR 10 million of merger synergies. As you will recall, we promised EUR 40 million of merger synergies for the full year, so we are full on track.
 On next page, you will see the EBITA bridge for Q1. EUR 105 million is actually the number Q1 for '14/'15. The EUR 97 million -- minus EUR 97 million is actually the number '15/'16. You see the Riu Waikiki effect as a negative. And then underlying trading of EUR 5 million up; merger synergies, EUR 10 million up. And then the 2 effects which are more financially driven, Europa 2, the last time, actually, where the difference between Q1 '14/'15 and Q1 '15/'16, that, actually, we changed the ownership model of Europa 2, as you recall, and also we financed lease of our aircraft, which is another EUR 4 million. You also see the FX translation that is actually the translation effect which then leads to the difference between 7 -- or 3% growth, which I highlighted the page before.
 Now turning to Source Markets. You see a very strong performance in Northern Region. Northern Region was up EUR 23 million. Main driver here, U.K., a strong business; the very strong substitutes from the North African business into Canaries, very strong margins as well; the strong cruising business as well. 
 Central Region remains challenging, minus EUR 6 million, in line with our expectations, driven by the Germany turnaround. I had said before that the first year will be still a challenging year that the turnaround would take 3 to 5 years. New management in place; all actions in place; we see also now new marketing and sales efforts, and therefore, we remain very confident that we will see an improvement also this year in Central Region, but not the first and also not the second quarter.
 In Western Region, you see minus EUR 16 million, and partly driven by the weaker trading and re-branding costs in the Netherlands and in Belgium but also by one-off effects which we had last year. And withholding tax booking was done in TUI Travel the year '13/'14 and in TUI AG in '14/'15. So therefore, the true trading effect is EUR 4 million of the EUR 16 million. 
 The FX translation then is now again here because of the strong pound, which, of course, translated from U.K. EBITA into the results.
 Now if I turn into the Source Markets details. In the KPIs, you see a little bit lower customer numbers, which is extremely related to the challenges in the geopolitical landscape. But overall, trends have -- stayed intact; as you can see, the shift to online, the shift to direct. We see exception, by the way, of Northern Region, where in the U.K, we reduced the number of shops a little bit because of cost reasons, but we have a direct distribution of 90 -- almost 90% anyway. So here, this is more an optimization game.
 Now turning into Hotels & Resorts. You see enormous performance in Riu, partly driven by the strong portfolio in the Caribbean but also by the very strong performance in -- particularly in Canaries. We have an important occupancy improvement of 2.3% and also an increase of average rate of 13%, so it's very strong. Please remember that in theory, we should be adding again here the 16% (sic) [EUR 16 million] of Riu Waikiki. So that's how strong, actually, Riu really performed.
 Now Robinson is down minus EUR 7 million; very good at trading except, of course, in Tunisia and Turkey. But here, you see marketing and, actually, ramp-up costs for new clubs, We always said we wanted to extend the portfolio. Robinson now is, on average, on return on capital of 14%, so we are where we want to be. And we said we want to go from 24 to 40 clubs. Of course, you need a little bit of investment, and that's what you see.
 Now, in Other, you actually see the minus EUR 9 million. This minus EUR 9 million is, of course, due to the hotels which we actually have in Egypt and also in Turkey; also one effect, which is, actually, Grecotel not a part of the group anymore. As you all know, there's another EUR 3 million effect, so a mix of effects. Overall, I would say, a very strong result, particularly if you add the EUR 16 million of Riu, which, actually, was a one-off effect the year before.
 Now you see the KPIs on the next slide may be remarkable, as I said. Revenue per bed in Riu up 13% to almost EUR 60, with capacity up 1%, occupancy up 2%, so that's, I think, underpinning our strong results.
 Cruises. Cruises increased EBITA from EUR 2 million to EUR 8 million. TUI Cruises, EUR 3 million; operationally, it would have been EUR 5 million because, the year before, as you might recall, we had the repayment of a shipyard loan. In Hapag-Lloyd Cruises, it is EUR 3 million. The Hanseatic and the Europa 2 effect is actually around about EUR 4.8 million, within that number, so you have a little bit of negative development. But keep in mind that we had planned dry docks for Europa and Hanseatic: Europa, 14 days; Hanseatic, 21 days, so significant reduction in capacity. And therefore, we remain very confident that Hapag-Lloyd Cruises will be delivering regarding -- according to expectations. 
 You see also on the next page, actually, the -- in Hapag-Lloyd, the passenger cruise days down 8% year-on-year. That's actually the dry dock. You also see the cruise extension of TUI Cruises, almost 14 -- almost 40%, with an occupancy of more than 100%, so I think that's very good. And then you see the average daily rate a little bit lower, but that is a mix which, actually, we see according to good planning, and therefore, nothing which was really -- is really surprising.
 Now Specialist Travel. Very good performance of Hotelbeds Group: transaction value up 17%; room nights, up 10%; disposal process on track; very high interest by financial and also strategic investors. So as we said, this year, we will -- actually, we plan to close the transaction and that we're on track to do that. 
 Specialist Group is actually a little bit disappointing. You know that we have here a group of all specialists around the world, a lot of number of businesses. But the snow season was not very good. This is a big driver in that business. Crystal Ski, for example, had a very, very weak year because there was no snow. And also, the terroristic threat, which, in perception, was particularly big in the U.S. So the U.S. market, in general, was not very good, and we have a higher reliance on the U.S. market in our specialist business as well. And therefore, the specialist business is actually -- the winter season was not a very good season.
 Now with that said, I would like to turn over to Horst to guide you through the financial performance. 
Horst Baier: Good morning, ladies and gentlemen. A couple of brief remarks on our financials for the first quarter from my end. Fritz covered already the operational performance in his part. 
 So starting with adjustments, these are at EUR 36 million that means on prior year's level, comprising purchase price allocation impact of EUR 20 million, merger-related costs of roughly EUR 2 million and other one-off items of totaling EUR 11 million.
 Interest is decreased by EUR 26 million. This is in first line, attributable to the non-repeat of convertible bond interest, or the converts have gotten converted into equity and non-repeat of merger-related charges. This was partly offset by the interest on the high-yield bond which we issued last year and higher interest which is related to our financial leases.
 Hapag-Lloyd AG valuation, after the listing of Hapag-Lloyd now, is so-called Level 1 valuation according to IFRS rules. A share price of EUR 20.14 as at 30th of December 2015, triggered an impairment of EUR 42 million. 
 Coming to income taxes, these represent approx 27% on our earnings before taxes of minus EUR 220 million, so on track. Minorities are at EUR 20 million, attributable to Riu. And that brings us to a group result of minus EUR 184 million.
 Moving on to the cash flow statement. Working capital shows a positive development and reflects reversal of timing differences which we have seen at year-end. The increase in U.K. pension contribution has, in the first line, driven by foreign exchange, you've heard that a couple of times this morning; net CapEx, a head of last year, triggered by Hotels & Resorts, as you can expect it. Net investments include own shares for remuneration of management, and that brings us to a free cash flow of minus EUR 1.6 billion, which is the typical seasonal swing which you see at the end of the first quarter.
 Summing it up. As far as cash flow is concerned, I'm pretty satisfied that we are now back on track as far as working capital is concerned.
 Moving on to the net financial position. As for the end of this year, December 2015, it is around EUR 1.876 million, and that is slightly above the status as per the end of December '14, since that point of time -- in time, a lot of stuff happened: convertible bonds converted into equity; operating cash flow came through; net CapEx, according to our expansion plans, negative; dividend payments, hybrids repayment, which took place; financial leases in the amount of roughly EUR 400 million, which got on board; we acquired Europa 2, as Fritz has already alluded to. And that all, summing it up, brings us to an increased net financial debt position compared to the 30th December of 2014. When you do the comparison to the 30th of September 2015, at that point in time, we were around EUR 200 million. You see, as I just had explained, in the cash flow statement, the typical seasonal swing which we have was in our business. So far from my end, and I hand back to Fritz so that he is now covering current trading and outlook. 
Friedrich Joussen: Horst, thank you very much. 
 Current trading. Winter, Source markings -- Source Markets bookings are flat; selling prices, up 3%. This is the destination remix, lower discount levels necessary in the Canaries saw a very good trend. Growth, strong in the U.K., up 3%, driven by long haul, which is up 16%. Netherlands, I think very interesting; bookings up 6% following the TUI brand's launch, which makes us confident that, actually, the brand launch will be also finished very successfully, and also, it's the right thing to do for other source market. German market environment remains challenging, it's with North Africa, particularly, Turkey. I think here, also our investments into marketing and sales are necessary, and therefore, as I said, the market is still challenging for us.  We remain very pleased with Cruise bookings and also the yield performance there.
 Now I said most important is summer '16. So turning into summer, Turkey bookings are down 40%. I said that load factor, 25%, down 5% year-over-year, so this will be our main challenge. But our Source Market bookings are up 1%, and average selling prices up 2% until now. So therefore, I think you see -- you can see that we can book in good margin alternatives.
 Good turn-of-year performance by U.K.; bookings up 9%. And more significantly -- more significant impact on Germany and Nordics through a lower demand in Turkey. But as I said, the average Source Market performance is, in a way, until now, good, up 1% with higher selling prices. Therefore, the current trading is in line with our expectations. And therefore, we confirm to our outlook, as we stated in the beginning of the year. 
 Thank you very much, and now we are open for questions. 
Operator: [Operator Instructions] The first question comes from Jamie Rollo from Morgan Stanley. 
Jamie Rollo: Had a few questions on Turkey, please, both for the Source Markets and for the Hotels division. So you're saying your booking volume are down 40%, and the load factor's fall from 30% to 25%. So it looks like you've cut about 25% capacity. I'm just wondering whether that's enough and how much flexibilities you have to cut more there. And also, if you've got 26 hotels in Turkey, how much could that cost given Tunisia, I think you had halved that number of hotels, that it cost you EUR 40 million, so what could be the prepayments on lease liabilities? And so for Source Markets, how do your sort of margins compare in Turkey last year maybe to Spain? And what's the impact from so many customers switching from the Eastern Med to, the Western Med? 
Friedrich Joussen: You know that -- I think how I would look at Turkey is the following. In the year pre-crisis, we did around about 2 million customers into Turkey. Now 200,000 of that potentially came from Russia, therefore, you exclude them. Its part of our Russian result, which is actually, in a way, better than last year because the business is much lower, and our exposure is lower, and our results in winter are naturally negative. So if you have lower business, you have a positive deviation. Then you have around about 1.8 million. Of the 1.8 million, we reduced right now in our planning in the tour operator piece 40%, which results into a number around about 1 million. Now that is actually done in our tour operating piece. When you now look at our exposure, we have 270,000 guests in our owned hotels and another 300,000 guests in our committed hotels. So therefore, our plan of 1 million still has enough headroom that we actually will be able to put the guests into our own hotels. Now to what prices will that be possible, that is a good question because we have now lower bookings, and we don't know exactly what the yields will be looking like at the end of the booking cycle. But at the same time, we have also beneficial FX, which is actually lower currency valuation of the Turkish lira, and therefore, I think we will be able to manage it somehow. And we have very strong bookings because we don't expect to have lower customer numbers, but the customer's numbers will be shifting into other destinations. And as you can see right now in the Spanish business through Riu -- for example, through Riu, we have now EUR 13 -- or 13% higher prices because we don't have to give any discount in that business. So I think the overall effects will be interesting to have a look at. I would assume that our risk capacity in hotels is not a problem. I would assume that our -- or I know that the risk capacity on flights is also not a problem because we took them largely out where possible. I would assume that we have lower customer numbers, we will have low prices, but at the same time, we will have very high profitability, and we also have a destination as well. I hope that helps, and that -- and we are managing it day by day and week by week. 
Jamie Rollo: So as long as passenger numbers are about 600,000, in other words, as long as they do not fall by more than 2/3, do you think it should be no sort of one-off lumpy losses on prepayment or operating leases? 
Friedrich Joussen: Yes, yes, yes. And exactly because we -- and Tunisia was very different. We had to close it from one day to the other. And we have leased hotels, and therefore, that was one-off and very lumpy. And in Turkey, nobody expect Turkey will close. 
Jamie Rollo: Okay. And then just the other question on Germany. You mentioned corrective actions in your statement, and I think you said on the call you expect the full year profit to be up year-on-year. I'm just wondering what exactly you're doing on the corrective actions and costs [indiscernible] that summer profits will be up year-on-year. 
Friedrich Joussen: Actually, we have said that -- I think I've said that the turnaround will take 3 to 5 years, and the reason for that is because the main driver of the turnaround is a massive build-out of direct distribution and that if you have a shared distribution model, it's something which we're doing too fast, it's very risky. Therefore, as I think I said, the basis for our existing guidance is that we will be flat. Even if we were flat year-on-year -- that's not what I'd expect, but that's what the profile says. Even then, I would be on the 10% guidance level. So that's the basic assumption. But at the same time, it's also clear, Q1 and Q2 of this year will be negative, and we expect slightly positive trends than in summer. 
Operator: The next question comes from Alex Brignall from Redburn. The next question comes from Tim Ramskill of Credit Suisse. 
Tim Ramskill: Tim here. Three questions for me, please. Firstly, could you just help us out in Turkey again? So the decline of 40% in bookings you experienced, over what period of time have you seen that step-down? Obviously, with the terrorist attack about a month ago, so I just wondered if you could talk us through how that's evolved. The second question was, as you move more passengers into other destinations, and there's a benefit to your hotel occupancy, does that effectively pull forward some of the occupancy improvement plans that you've talked about? Or does it still -- or does the endpoint end up being higher? Just help us understand that. And then the third question was just an update on your thinking around potential use of proceeds from Hotelbeds. Would you look to return that capital? Would you look to reinvest it? And if you look to reinvest it, sort of what returns do you think you can generate on that investment compared to the returns that the Hotelbeds business is generating today? 
Friedrich Joussen: Okay. Tim, thank you for the question. Turkey has accumulated 40%. And also, we plan forward 40%. Of course, after the attack in Istanbul, we had business minus 80%. Therefore -- but now it's back to more normal reduced levels, meaning accumulated minus 40%; and also forward, minus 40% is what we would be expecting. Occupancy, yes, it puts forward occupancies. I think that's very true. We -- through our new integrated model, we have now the benefits, and we have them earlier than we would have expected. I think maybe you've asked if you -- do you have a view of how we are doing against our guidance for the synergies. Maybe to the last point, and then I leave it over to Horst. Yes, we -- just let's first look that we get the proceeds and then, actually, see what we want to do. Actually, on the other side, we have, as we said, big investment programs in front of us through new hotels. And if the geopolitical events generate something, then they generate the need for investment because when you want to have alternative destinations, like the Cape Verde islands and so on, is that -- for North Africa, then you need to build hotels. At the same time, it should be easy -- relatively easy to do our run rate of 15%, and we stick to the 15%. We don't do anything below 15%. And therefore -- but on Cape Verde islands, 360 days, the destinations, low costs, relatively low competition, definitely, there's a tick in the box when it comes to return on capital. So we will be very disciplined here. Horst, there may be... 
Horst Baier: Synergy delivery is on track. We indicated -- or Fritz alluded that, I believe, in his part of the presentation that we delivered, in total, EUR 10 million in the first quarter. And we guided in -- on the last meetings with analysts that we will probably have EUR 40 million, in total, for this fiscal year, and we stick to that statement. 
Operator: We have another question coming from Jeffrey Harwood from Stifel. 
Jeffrey Harwood: I just got 3 questions. First of all, the weakness in summer bookings, is it similar in Germany and the Nordics? Secondly, do you have any thoughts yet on the future of the specialist tour operating business? And then thirdly, have you seen any effect on bookings from the Zika virus, please? 
Friedrich Joussen: Okay. Thank you, Jeffrey. Zika would affect particularly Caribbean. Our growth in Caribbean is so strong that it's difficult to say we would have been stronger. We see a little bit of effect but not a big one. If you see the effect maybe most prominently, it's actually Canada where we see it. But let's have a look. I think it is something which, yes, we see a little bit, but as I said, this -- the growth in Caribbean is very strong. And anyway, summer booking, enormously strong in the U.K.; pretty strong in Nordics; Germany, due to Turkey, mostly affected. In Turkey, it's in Germany, the #3 destination and, therefore, bigger than everywhere else. And also, in Germany, we've seen the strongest cycle of family bookings into Turkey in January and also February, and therefore, we see a downturn here. Now the question is what will happen. Will the families not go to Turkey, or will they just book later, meaning the latency or the difference between the booking and, actually, the journey itself may be just it's shorter, so we will see the latest business here. But it's very difficult to say yet. As I said, we are taking all actions to derisk our destinations. And at the same time, we have built up enough capacity in alternative destinations, which are now -- is now profitable because prices are very good.  The specialist business is something which we have to get our head around. Sometimes, it's good, sometimes it's not that good, but I think, over time, we have to be thinking strategically about the business. As we said, that's what we would do. Now we do it in the sequence: we looked at the Source Markets; we looked at geopolitical challenges; we looked at Hotelbeds out and Cruises, and now we are having a strong process in place on Hotelbeds, and that's going forward. And definitely, we will look into the specialist business again. And as you can imagine, part of the businesses will be very synergetic to our core domestic businesses. And part of the businesses, they'll be not synergistic, and therefore, we will take different corrective actions over time. But that is something which will come, which we will actually talk to you in due course and then something which we started thinking about. 
Operator: The next question comes from Geoffrey Collyer from Deutsche Bank. 
Geof Collyer: Three quick questions. Firstly, I mean, how much slack do you think you actually got in your Spanish business if we take your problem persists for longer than this year? Secondly, and a follow-up to Tim's question on the Cape one, your answer on the Cape Verde front, would you look to build or buy hotels, i.e., is there an opportunity to spend any disposal proceeds quicker than the long-term new build sites? And then thirdly, on the long-haul front in the U.K., can you just give us an idea of where most of that demand go -- or most of that demand is going? 
Friedrich Joussen: Yes, I didn't put my mic on, then it's difficult to understand me. Now in Cape Verde, actually, it is more a build than a buy because you cannot buy because there are not enough hotels. That's also the reason why the profitability is so high, with scarcity of resorts and sources, and therefore, it is a very high-profit location. U.K. destination mix, I understood, long haul is, of course, driven mainly by 3 countries: 1 is Mexico, 1 is Jamaica, and 1 is actually Dominican Republic. This is covering, I would assume, 80% of the long-haul program into the Caribbean of U.K. And then what's the first question? Sorry, I didn't... 
Geof Collyer: Yes, the first question was how much slack would you have in Spain, yes. 
Friedrich Joussen: Yes, yes. If I understood the question correctly, it's how much capacity we'll be able to acquire in Spain, and will it be a long-term viable solution as well. I think we are blessed with our own capacity in Spain. And therefore, I think in the mix, we can be playing many things. We can be selling shared capacity. Usually, you ought to do the following: you will drive customers in your own capacity first, and then you go to shared capacity. But when the capacity is very scarce, you can do it the other way around. You can be a shared capacity first and keep your own capacity to last when nobody has anything anymore, and therefore, we have guaranteed beds, and we are very, very cautious of managing these. My view would be, Geoffrey, particularly, Turkey will come back very fast. All estimates of -- or judgments of our national security, governmental bodies who actually we talk to say Turkey is very safe. And particularly, I talked to the Minister -- talked to the Prime Minister, and I think my judgment is that they will come back very fast. I would also assume that North Africa comes back. I think it has been always very cyclical, and after a certain time, customers came back because when you look at Tunisia price levels and what you get for that price in Spain, that's totally different offer; and therefore, I think it will come back. But at the same time, as I've said, now for the summer season, that Turkey is the only real big unknown. We have actually secured enough capacity in Spain. 
Operator: We have another question coming from Tobias Sittig from MainFirst. 
Tobias Sittig: Two questions from me remaining. Firstly, on -- can you provide a little more granularity on the average pricing being up? Basically, it's a bit kind of counterintuitive. When you see oil prices coming down, on average, package tours should become cheaper. So is it you charging more for the same hotel destination, or is it more a mix shift towards more long-haul or higher-class holidays that you're seeing? Could you provide a little more granularity there? And the second one, basically, have you made any thoughts, any precautions when the U.K. may exit the European Union, what that would do to your business, i.e., you can prepare for that? 
Friedrich Joussen: On the prices, it's -- they have 2 major trends there. The first one is actually long haul, and the mix is growing faster than average. And the second one, as I said before, is the scarcity of resorts in Spain because here the whole lates business in the markets. You don't need to discount anything because that's a -- that stock is very scarce supply and because of the North African situation. Now on the exit potential exit of Britain, which nobody would like, and particularly we wouldn't like, it's difficult to say what it would make. Potentially, we had a discussion once then, and I and with colleagues, that maybe the British pound would weaken and that would, of course, affect a little bit as well our travel patterns as we have a very strong business in the U.K. But Horst, maybe -- would you like to say something further [ph]? 
Horst Baier: Maybe a couple of words, and that is going more into our behaviors as far as foreign exchange and commodity hedging is concerned. We are hedged within our business. And typically, we are 12 to 18 months in advance of a season hedge. That means whenever you look at possible situation of a back set, then we are on safe grounds as far as the near future is concerned. However, the real challenge, whenever it would come to such a situation, would be that there would be a different situation in the U.K., and none of us can predict at the time being; whether that would be negative for the U.K. sterling or whether it would be positive for the U.K. sterling, a big question mark. Therefore, I think it is in our utmost interest as business -- as a business, as managers, that the U.K. stay within the EU and that we have kind of stability as far as our expectations are concerned. 
Operator: And another question comes from Jaafar Mestari from JPMorgan. 
Jaafar Mestari: I've got 3 questions, please. The first one is on Hapag-Lloyd Cruises, where the EBITA contribution was flat year-on-year this quarter probably for the first time. That's a business that was routinely improving EUR 5 million, EUR 10 million every quarter over the turnaround. So has it now reached stability? And is Hapag-Lloyd Cruises a business that's structurally going to make a seasonal loss in Q1, maybe Q2? And my second question is on the hotels rollout. Historically, you've had over 40% of your capacity between North Africa and Eastern Mediterranean. And as of today, would all of your new openings go into alternative regions? And if yes, if we assume most or all of the 60 hotels you plan to open go to the smaller regions, where would Caribbean or West Africa, which are now below 10%, be post rollout? And finally, just on the pricing of hotels, Riu saw a revenue per bed up 13%, probably even higher, I suppose, just in Canaries. Is that also the level of price increase that you're seeing from your suppliers in these destinations? And at which point does it become a zero sum game for next summer if we free-- you outperform, but Source Markets starts facing pricing pressures? 
Friedrich Joussen: Jaafar, thank you very much. Hapag-Lloyd Cruises, Hapag-Lloyd Cruises is compared to, actually, TUI Cruises' relatively seasonal business, so you have to look at the full year. On top of that, you have 2 dry docks, as I mentioned, for Europa and also Hanseatic, so both of them, which resulted into a capacity decrease of 8% in the first quarter. So don't read too much into that number. Quite to the contrary, I think it will have -- it will see a very healthy development over the year. Second, rollout of hotels, yes, it's true that our investments will be into different -- into a different destination because, as I said it in the past, it is Caribbean. I also mentioned Cape Verde, for example. So it will be 365 days destination, low cost, low competition -- competitive intensity and manageable geopolitical or manageable risk. Now I just want to give you also one anchor point, which I -- just for mentioning, usually, historically, we have the biggest problems but not with the owned hotels. Usually, historically, we have the biggest problem in the leased hotels because when you look at our ownership models, for example, in Egypt, even in the time of Arabic Spring, we still had a company there which, actually, paid dividend for every year since existence even if its occupancy levels are between 30% and 40%. So I think leasing -- long-term leasing is something which is -- we have to be very careful where we do it, and it must be something where we tactically complement actually our hotel portfolio. But strategically, I think ownership is much better and where, actually, we don't want to take the risk, management is also very good. Now last but not least, pricing behavior of suppliers. Yes, of course, prices will go up, and therefore, it's important to make fast decisions. And therefore, we made a EUR 26 million decision after Sharm el-Sheikh within 24 hours in order to secure capacity. I think on the pricing front, in all fairness, it is playing to our advantage because on the OTAs, on the platforms, you will see high prices over the business. And OTAs were best, and you have a surplus of capacity above demand. But when you have a scarcity of resorts, our model is perfect because we can actually commit; and therefore, we can commit early; and therefore, we can secure good prices. That would be my assumption. 
 So thank you very much, everybody. Unfortunately, we have an Annual General Meeting to manage, and therefore, there are a couple of people outside waiting. And as you might know, in a German environment, it's a couple of thousands and not a couple of, therefore, we have to leave the call right now. But thank you very much for being with us, and thank you very much, and have a good day. Bye.